Operator: Good morning, ladies and gentlemen, and welcome to Gartner’s Earning Conference Call for the Second Quarter of 2015. A replay of this call will be available through August 30, 2015. The replay can be accessed by dialing 888-286-8010 for domestic calls and 617-801-6888 for international calls, and by entering the passcode 85723528. This call is being simultaneously webcast and will be archived on Gartner’s website at www.gartner.com for approximately 90 days. On the call today is Gartner’s Chief Executive Officer, Gene Hall; and Chief Financial Officer, Craig Safian. Before beginning, please be aware that certain statements made on this call may constitute forward-looking statements. Forward-looking statements can vary materially from actual results and are subject to a number of risks and uncertainties, including those contained in the company’s 2014 Annual Report on Form 10-K and quarterly reports on Form 10-Q, as well as in other filings with the SEC. I would encourage all of you to review the risk factors listed in these documents. The company undertakes no obligation to update any of these forward-looking statements. I will now turn the call over to Gene Hall. Please go ahead, sir.
Eugene Hall: Thank you, and good morning, everyone. Welcome to our Q2 2015 earnings call. The technology revolution continues to drive demand for our services. We have right strategy in place to capture the opportunity ahead of us and our business is doing great. We are where we expect to be at this point in the year and all of our underlying metrics are strong. As on prior calls, I will review our key operating metrics on an FX neutral basis, since that's the best way to understand the underlying health of our business. For the second quarter of 2015, contract value again grew 15% and total company revenues grew 12%. We've consistently delivered double-digit contract value growth in every region, every industry and every company size and this quarter no exception. The continued successful execution of our proven strategy was central to our success. We continue to get bigger, stronger, faster every quarter, year after year. Across our three businesses, research, our largest and most profitable segment, accelerated FX neutral CV growth for the sixth consecutive quarter to 15% and revenues grew 14% in the second quarter of 2015. Retention was strong. For second quarter of 2015, client retention remained at our all-time high of 85% which is up one point for the same quarter in 2014. Wallet retention also remained at an all-time high of 106% which is up a point over Q2, 2014. For the second quarter, sales productivity was up 13% compared to Q2, 2014. We continue to invest in improved recruiting capabilities, training and tools and this in turn allows us to drive sales productivity improvement overtime. In addition during Q 2, 2015 sales headcount growth accelerated to 16%. Our consulting business was up 2% as a result of solid performances from our labor based practice and our contract optimization practice. We continue to maintain a healthy four months of backlog. Our events business also did very strong performance during the second quarter. We held 26 events in Q2 and across those events we hosted more than 17,000 attendees. For Q2 2015 on a same even basis, revenue was up19% year-over-year. Strategic after space we also continue to deliver value back to our shareholders purchase. For the first six months of the year we repurchased $441 million of our shares. The primary reason our business is so successful is our people. At the heart of it, Gartner is a people business. We’re attracting the best talent in industry in strategic locations around the world and getting them up to speed quickly. We recently gathered our global sales leadership team together. They were incredibly exciting about the technology revolution. They see the huge opportunity we have before us and I know the value would live with our clients. The insights to created of our industry leading analyst we’ve like to deliver and the overall client experience with Gartner has never been better. We’ll continue our great momentum. As we have progressed through 2015. We have tremendous clients whether they're growing or facing economic challenges. We know how to be successful in any economic environment. Retention rates are all time highs and we have double digit growth in every region, every industry every company site. We remain committed to enhancing shareholder values through investing who invest in business, strategic acquisitions and share repurchases. We are better, stronger, faster as a company and I expect to see robust growth for years to come. With that I will hand the call over to Craig. 
Craig Safian: Thank you, Gene and good morning, everyone. As Gene just discussed, Gartner carried the strong start to 2015 into the second quarter, delivering 15% growth in contract value and maintaining all-time highs in retention metrics. Our performance in the first half of the year puts us right where we expect to be and accordingly we are reiterating our full year guidance. Our financial highlights for the second quarter on an FX neutral basis include contract value growth of 15% for the second straight quarter. This is the sixth consecutive quarter of contract value growth improvement. Events revenue increased by 19% year-over-year on a same event basis. Year-over-year consulting revenues increased by 2% and normalized EBITDA was up 12% versus the prior year. We continue to see robust demand for our services across all of our business segments. Our strong top line performance and effective execution in capitalizing on the operating leverage in our business, allowed us to once again expand our gross contribution margin. Our business continues to deliver double digit growth, quarter after quarter, year after year. We are engaged on our client's most important initiatives and projects. In both existing and prospect account, we are finding new IT, supply chain and digital for consistent revenue growth and strong financial performance over the near and long term. I will first provide a review is of the business results for the second quarter and end with the details of our outlook for the third quarter and remainder of 2015 before taking your questions. As a global business, it is worth noting the continued strength of the U.S. dollar once again impacted our reported results. Just about currency we operate in is weaker against the U.S. dollar when compared to last year. I will comment on the impact of foreign exchange in each business segment as I speak about them. Starting with our research business, research revenue grew 8% on an as reported basis and 14% on an FX neutral basis in the second quarter. The gross contribution margin for research was 70%, up 1 point compared to second quarter 2014 and matching our gross contribution margin target for the research segment. All of our other research business metrics remain very strong. Contract value grew to $1.595 billion, a growth rate of 11% year-over-year on a reported and 15% on an FX neutral basis. Our growth in contract value was extremely broad based with every region, every client size and every industry segment growing at double-digit rates. The acceleration in our contract value growth was driven by improvements to both our retention rates and our new business. Client retention was 85%, a third quarter in a row of this historical high. This is up one point versus the second quarter last year. Wallet retention is also at an all-time high ending at 106% in the quarter, one point uptick over the last year's second quarter. This was the seventh consecutive quarter of sequential improvement in wallet retention. Wallet retention is higher than client retention due to a combination of increased spending by retained clients and the fact that we retain a higher percentage of our larger clients. As we have discussed in past, our retention metrics are reported on a four quarter rolling basis in order to eliminate any seasonality. Once again, new business significantly increased year-over-year, up 17% over last year's second quarter. The new business mix is consistent with prior quarters and remains balanced between sales, the new clients and sales of additional services and upgrades to existing clients. Our contract value growth also continues to benefit from our discipline of annual price increases and no discounting. We have increased our prices by 3% to 6% every year since 2005. We implemented a price increase during the fourth quarter of 2014 and we expect to do so again later this year. Our new business growth reflects our success in growing the business by penetrating our vast market opportunity with both new and existing client enterprises. As a result we ended the quarter with 9,956 client enterprises, up 9% over last year's second quarter. Our average spend for enterprise continues to increase on a FX neutral basis, again reflecting our ability to grow our contract value by driving growth in both new and existing enterprises. Sales productivity continues to improve as well. We are up 13% on a FX neutral basis as compared to last year. As we have detailed in past we calculate sales productivity as the net value contract increase what we call NCVI for account executives. We look at it on a rolling four quarter basis to eliminate seasonality and we use opening sales headcount as the period denominator. Over the last 12 months we grew our contract value by $205 million in FX neutral term. Using our Q2 2014 ending sales headcount of 1,787 as our beginning of period denominator yield NCVI per AE of $115,000 on a rolling four quarter basis. Again, that's a 13% improvement over second quarter last year when the comparable was $101,000 at constant currency rates. To sum up, we delivered another strong quart on our research business. Contract value growth again accelerated achieving 15% year-over-year growth. We continue to see strong demand from clients and our retention rates remain at all-time highs. Look forward, we have a very strong pipeline. Our headcount growth is accelerated. The programs we have in place to drive productivity around recruiting, training and tools are working. We anticipate continuing to improve sales productivity which positively impacts CV growth and research revenue growth over the long term. Turning now to Events. For the quarter our event segment continues to deliver strong year-over-year revenue growth. On a FX neutral basis events revenues increased 15% year-over-year. This was achieved despite three events being moved out of Q2 and into Q3. During the quarter we held 26 events with over -- with 17,107 attendees compared to 28 events with 16,594 attendees in the second quarter of 2014. In Q2 we launched new event for digital marketing leaders, which exceeded our expectations. On a same event and FX neutral basis, event revenues grew 19% with 16,554 attendees, a 7% increase compared to second quarter of last year. For the first quarter events revenue was up 14% over the prior year with 35 events versus 36 events in the same period last year. The gross contribution margin for events increased roughly 3 percentage points from second quarter year ago to 53%. On a year-to-date basis we improved gross contribution margin by approximately 3 points to 48%. Moving on to consulting, on a reported basis, revenues in consulting decreased 6% in second quarter and were up 2% FX neutral. In the quarter on a FX neutral basis, our labor based business grew by 1%. We also saw higher demands for contract optimization in the quarter than we had forecasted. As we've discussed in past, our contract optimization has a higher degree of variability than the other parts of the consulting business. The underlying operating metrics of the consulting business are also strong. On the labor base side, billable headcount of 564 was up 12% from this point in 2014. Second quarter annualized revenue for billable head count ended at $409,000 and utilization was 68%, a 2 point decline over the second quarter of last year. Across the entire consulting business we continue to see strong demand for our services and investing and managing partners is allowing us to capture that demand. We now have 100 managing partners, a 15% increase over second quarter 2014. Backlog, the key leading indicator of future revenue growth for our consulting business, ended the quarter at $97 million. Backlog was impacted by FX rates and still represents a healthy four months of forward coverage. With the current backlog and visibility we have into the pipeline, we believe that consulting business remains well positioned for 2015. Moving down the income statement. SG&A increased by $90 million year-over-year during the second quarter, primarily driven by the growth in our sales force. As of June 30th we had 270 direct quota bearing sales associates, an increase of 283 or 16% from a year ago. For the full year, we expect to grow the sales force by 15% to 16%. In the second quarter, SG&A was higher as a percentage of revenues due to continued investments in our sales capacity and recruiting and training capabilities. Moving on to earnings, we delivered a solid quarter of earnings growth. Normalized EBITDA was $110 million in the second quarter up 5% year-over-year on a reported basis and 12% on a FX neutral basis. GAAP diluted earnings per share was $0.61, up 5% year-over-year and a penny higher than the Q2 guidance range we provided on the last call. Our Q2 2015 GAAP diluted earnings per share include $0.04 in amortization and other costs associated with our acquisitions. Excluding acquisition related charges our EPS grew 2% to $0.65 in the second quarter. The FX impact on earnings and EPS was similar to the FX impact on normalized EBITDA. Turning now to cash, first half operating cash flow decreased by 2% to $149 million from first half last year, largely due to a stronger U.S. dollar and higher incentive and tax payments. We continue to expect to achieve the guidance we set for the full year. During the second quarter, we continue to utilize our cash to return value back to shareholders through share repurchases. In the quarter we had share repurchases of $117 million. Year to date we have repurchased $441 million of our shares. Share repurchases and strategic acquisitions are primary uses of capital. We recently announced we had purchased Barcelona based Nubera e-business. This small acquisition occurred in July so it does impact Q2 results. Nubera operates a site called GetApp which is complimentary to the software advice and match to one of our core value proposition helping people in businesses of all sizes make the right technology decisions. We were able to use foreign cash to fund the purchase. The terms of the deal have not been disclosed, but it should be noted that this acquisition was substantially smaller than the Software Advice acquisition last year. We ended the quarter with a strong balance sheet and cash position despite the pace of share repurchases. As of June 30, we had had gross debt of $715 million and cash of $358 million, with 94% of the cash balance located outside of the U.S. This now represents a net debt position of $357 million. Our current credit facility runs through 2019 and gives us ample liquidity to continue to grow our business and executive initiatives that drive shareholder value. As of June 30, we had $776 million available on our revolver. We continue to look for attractive acquisition opportunities as a potential use of cash. We also continue to believe that repurchasing our shares remains a compelling use of our capital. As of June 30, we had $1.2 billion available under our share repurchase authorization. Turning now to guidance, given our performance on a year to date basis and the fact that we have performed as expected, we are reiterating our revenue, normalized EBITDA, free cash flow, GAAP EPS and normalized EPS guidance. All the details of our guidance are contained in the press release. Highlights of our guidance include FX neutral total revenue growth of 12% to 15%, FX neutral research revenue growth of 14% to 16%. FX neutral normalized EBITDA growth of 10% to 17%. Our GAAP EPS guidance also remains unchanged at $2.11 to $2.30 per share. Our guidance for EPS excluding acquisition and integration charges is to be between $2.27 and $2.46 per share, FX neutral growth of approximately 7% to 16% over 2014. For the third quarter we expect GAAP EPS to be in range of $0.36 to $0.38 per share. Acquisition and integration charges for Q3 are expected to be approximately $0.04 per share. The third quarter is historically one of our smaller revenue and earnings quarter. This will be true again in 2015. So before taking your questions, let me summarize. We delivered another strong quarter in Q2. Demand for our services is robust and as a result, our research contract value growth rate end with 15%. Our key business metrics remain strong and in fact many most notably: retention, CV growth and sales productivity continue to improve or are at/or near all-time highs. We will continue to invest in our business both organically and through acquisitions and return capital to shareholders through our share repurchase program going forward. Finally, with 15% growth in contract value in the second quarter of 2015, we remain well-positioned to deliver another solid year of revenue and earnings growth for the full year 2015. Now I will turn the call back over to the operator, and we will be happy you to take your questions. Operator?
Operator: [Operator Instructions] Your first question comes from Timothy McHugh from William Blair. Please go ahead. 
Timothy McHugh: Thank you. I guess, just -- I haven't had had time to crunch the math, you just kind of give the color about Q3. But the implication of that would be you need to see some fairly strong margin improvement in Q4 probably I guess to get you in line with your range. And I understand, you know, all of the kind of forward-looking metrics look great and consistent with your trends. But can you help us, is there something happening in terms of the phasing of expenses this year that makes that year-over-year improvement particularly significant in Q4. 
Eugene Hall: Thanks, Tim. Good morning. So there's really two things going on. One is Q4 is historically our largest quarter both from a revenue and from an earnings perspective and 2015 Q4 will be no different than past Q4. I think what we are seeing is two things. One is we have got great strength as we head into the balance of the year and we do expect, you know, to deliver to our full year guidance. The other thing is as we have talked about in the past, the return to normal trends for our contract optimization business actually depressed margins in the first half of the year, and we expect it to return to historical trends in the second half. And so we get what looks like to be a bump from that, but it is actually just a return back to normal. 
Timothy McHugh: Okay, that's helpful. Then, the gross margin for the research business, you had been seeing declines for a couple of quarters there and a reverse to the positive side this quarter. Is there something that changed or something more positive happening underneath there?
Eugene Hall: You know, Tim, I think we managed to a long term target of 70% gross contribution margin on the research business. We're in fact right at 70%. We are actually up a point year-over-year. I think what you see quarter-to-quarter is a little bit of noise. We are managing to that 70% level and we expect to deliver roughly in that range over the long term. 
Timothy McHugh: Okay. Thank you. 
Operator: Your next question comes from the line of Jeff Meuler from Baird. Please go ahead. 
Jeff Meuler: Good morning. On research productivity, I know it continues to increase or sales productivity now continues to increase year over year and you are talking about it continuing to go higher still. But if I look at the last couple of quarters, I think it has declined slightly on a sequential basis. Obviously we can only see the LTL metric. You have better visibility into quarterly trends. What gives you confidence in the increase and where are you at with rolling out some of the programs that were initially piloted more broadly?
Craig Safian: Thanks, Jeff. I will take the first part of the question and Gene will take the second part of the question. The way we look at sales productivity, we actually think best way to look at progress, because we do it on a rolling four quarter basis, is to look at it on a year-over-year basis. That eliminates the seasonality and also, with Q3 and Q4 generally being our larger quarters, it is harder to move the needle in the smaller quarters like Q1 and Q2. And so what gives us confidence is for the last three quarters, we have seen really nice year-over-year improvements on that rolling four quarter sales productivity. 
Eugene Hall: It is Gene. And the improvements as you related to are being are driven by the underlying changes we are making improving recruiting. So we have a series of programs that are designed to make sure we really recruit people to have the perfect fit for Gartner. Those are getting better all the time. We are not standing still. The second thing we are doing is making sure we have great training programs. Again those have gotten better all the time. We have continued improvement. And then, an improved set of tools that drives sales productivity as well. And you've noted, we've had -- part of our strategy is continuous improvement and continuous innovation in all these areas. We have had some things in pilot that are now being rolled out and they are doing great. Other things in pilot now that will be rolled out next year, that will continue to driver sales productivity. So as Craig said, it’s the underlying changes we are making that drive the sales productivity and because of the improvement -- the continuing improvements that we have and expect to have next year in recruiting, training and tools, we expect the sales productivity improvements to continue to grow over time. 
Jeff Meuler: Is it too early to get a read into symposium registration in the major markets US, Europe, et cetera and especially how our CIO registrations trending if it is not too early?
Eugene Hall: It is not too early and when I would say it's our -- the trending is where we would expect it to be for that business. So we are trending exactly where we would expect it to be. 
Jeff Meuler: Okay. Thank you. 
Operator: Your next question is from the line of Anjaneya Singh from Credit Suisse. Please go ahead. 
Anjaneya Singh: Good morning. Thanks for taking my questions. First off, I was wondering if you can talk a little bit about your Nubera acquisition. It seems you're starting to develop more of a presence here catering to smaller and mid-size businesses which is a bit of a shift from your traditional focus on larger enterprises. Now that it has been a year or over a year with software advice, you have got two acquisitions in this space, can you share any updated thoughts and views on the market opportunity here and the competitive landscape?
Craig Safian: So, great question Anj. So first in our traditional business, we have sold at least one seat out of 110,000 enterprise that is we target and we think that there's a north of $58 billion opportunity and our business today as you know is 1.6 billion in that market. So, there is huge -- incredible growth opportunities in our traditional business and we're going to continue going aggressively after that. Having said that, that's 110,000 largest companies, enterprises in the 95 countries we are in. There's tens of millions of small businesses that are great opportunities as well where our traditional business is not best way to serve them. We bought Software Advice last year which has very innovative and great way to serve that model. Nubera is in the -- is a similar kind of business. They're slightly differentiated and we think complimentary to Software Advice to help serve those tens of millions of small businesses that they have the right model to serve which our traditional business is more tuned to serving those top 110,000. 
Anjaneya Singh: Got it. And then another question-- shifting gears a little bit to consulting, the head count growth in consulting at 12% it seems to be about the fastest growth we have seen in about five years. I'm wondering if you can talk about what you are seeing in your business that's driving that and when we may expect to see that translate to consulting revenue.
Craig Safian: Sure, Anj. It is Craig. Two prime things driven the headcount growth. One is our continued growth in investments in managing partners and so as you just heard we are now at 100 managing partners which is up 15% year-over-year. The second thing which is a little bit of an apples and oranges thing is last year we acquired one of our sales agents and we had typically treated those consultants as subcontractors. When we did the acquisition, they came on to our books and so actually significant portion of our growth on year-over-year basis relates to just that acquisition. The good news when you look at the consulting business going forward is given that investments in managing partners, given the quality of our backlog and also given the way the pipeline looks, we have had some confidence in bringing in additional people to basically fulfill on that backlog. And so we are very pleased with where we are from a consulting perspective, backlog and revenue and we expect to hit our full year guidance in that business. 
Anjaneya Singh: Okay. Great. Thank you. 
Operator: The next question comes from the line of Manav Patnaik from Barclays. Please go ahead. 
Unidentified Analyst: This is [Ryan] [ph] filling in for Manav. Just a question on the M&A pipeline, given you mentioned a lot of your cash sits overseas, should we be thinking that most of the deals would be focused on the international space or there are still assets in the US that you find attractive?
Eugene Hall: There are asset the U.S. and the assets outside of U.S. as well and we are looking at both markets. So you shouldn't take it as we are focused on one or other. We are focused on both. And there's great opportunities on both. 
Unidentified Analyst: Fair enough. And one of your peers reported yesterday kind of discussed a lot of difficulty in hiring and you are obviously talking about 15% to 16%. With the labor markets getting significantly better than they were a year ago, what gives you the confidence that you are finding the right people and could you talk attrition a little bit?
Eugene Hall: So, Gartner is - , we are a leader in the technology industry. It is a very cool industry to be in. We are by any metric, if you can class store et cetera, a great place to work and have a great reputation in the marketplace. Because of this tremendous reputation we have and also because we have a world-class recruiting organization, the -- we don’t have trouble hiring people. In fact you saw this quarter actually our sales hiring accelerated this quarter. In addition to that, we don't just track a number of people, we actually look have track metrics indicate that fit that we -- of the people we hire. One might call it quality. We think of as the fit of the people we hire. And not only did our growth rate accelerate, but the actual forward-looking metrics on the fit of the people we are hiring now we just brought in at this 600 pace are the best ever. That keeps getting better over time. And so we are -- because Gartner is such a great place to work with, in a great industry, we are -- have a great recruiting organization, we are able to attract great people and at an accelerating rate. In terms of at attrition, our attrition is in the normal range, in range it has been in the past. 
Unidentified Analyst: Thanks and just one quick one for Craig--the number of events for this year, are they still around 65?
Craig Safian: Yes. That is correct. 
Unidentified Analyst: Okay. Thank you. 
Operator: Your next question is from the line of Andre Benjamin from Goldman Sachs. Please go ahead. 
Andre Benjamin: Thank you, good morning. First in research, I was wondering if you are seeing any new competitive threats? Any established smaller players launching new products, improving their quality or potentially paying up to try to take some associates from you. If you are, what are you doing to combat that? If you are not, why do you think that is given the size of the tam that's in front of you --you would think more people would be trying to be competitive and go after it
Eugene Hall: We live in a very competitive marketplace. There are lots of competitors. There are new innovators all the time. That has been true forever and we don't, you know, we don't stand idly by. We track competitors, we also play part many times in the past. Part of – a core element of our strategy is continuous improvement and continuous innovation. We every year introduce new products. We don't rely rest of the worlds we basically --because innovation is central to our strategy we are constantly improving getting better, stronger, faster every year with new products that are appealing to the most important things in the marketplace today. So while we have today a very competitive marketplace with a lot of innovators and we always have, and we have always done very well because we are aware of this, we respect for them. We innovate to stay ahead and we are committed to continue to do that. 
Andre Benjamin: And consulting, now that you have hit the goal that you had previously laid out of 100 managing partners, should we expect the growth in that number of partners to slow? As the count has grown, are there any innovations in consulting worth calling out that you expect to drive new growth or simply a matter of blocking and tackling with more bodies to drive business?
Eugene Hall: Andre on the managing partner front, so we are very pleased that we have reached 100. That's actually not the long-term target for us. As our consulting business continues to grow, we will continue to bring on more managing partners to support and drive that business. And so you shouldn't think of 100 as the finish line by any stretch of the imagination. We will continue to grow the managing partner business to continue to support and drive growth on a long-term basis. 
Craig Safian: And regarding to second part of your question, in our consulting business we have the same strategy of continuous improvement and continuous innovation as we do across the entire business. And that business, you know the service is based on what’s most important from our research organization. So, by knowing what's important to client on things like digital best practices the consultants then can apply that in the consulting space and so you shouldn't think that its, we are just adding more managing partners. Actually service lines are quite dynamic and innovate over time. And that's what is driving the success of that business. 
Andre Benjamin: Thank you. 
Operator: Your next question comes from the line of Joseph Foresi from Janney. Please go ahead. 
Joseph Foresi: Hi. I was wondering if you could talk about contract-value growth here for a second. You have obviously moved up to this 15% level which is very healthy but what should we expect going forward? Is this something that you think you can continue to build on? If you do think you can continue to build on it, what are the chief drivers from this point forward?
Eugene Hall: It’s Gene. So the two things that drive contract value are our sales productivity and the number of sales people we have. And as I have talked about before, in terms of sales productivity we have a number of programs in place and we continue to innovative on those -- those programs and others other to drive sales productivity. And in fact, as Craig mentioned, we are seeing sales productivity improve and that’s because of this. That's the first thing that drives contract value growth. The second one is the actual size of sales force. And as I mentioned before -- as Craig mentioned, we have accelerated the growth rate in our sales force as well. So both of those two things are the kind of forward-looking metrics you would expect to indicate that we can continue to grow our sales force over time, so continue to grow contract value over time, in fact at an ever kind of increasing rate. 
Craig Safian: And Joe, if you go back to our Investor Day materials, it was actually flat. That lays out the way we think about it in simple terms which is modest improvements in sales productivity coupled with 15 or 15 plus percent head growth, what that equates to in terms of contract value growth. And so that's why we have said long-term our target is 15 to 20% from a research contract value growth perspective and again its that combination of growing sales headcount and continued improvement to sales productivity. 
Joseph Foresi: I guess what I was trying to focus on was it seems like you rolled out the new training aspect of the sales force to a number of different regions and you got a nice little kick on contract-value growth. So, outside of the standard two metrics that you pointed out, I was wondering if there was anything else that you were currently working on that you thought might bring you to that next level? Is there anything else that you could point to?
Eugene Hall: So, Joe, there's -- in terms of sales productivity, we have many programs too numerous to name right here and some are -- have been rolled out, some are in pilot and some are being developed. And they all fall into the three categories I talked about, either improved recruiting, meaning our ability to target the people that have the skills to be most successfully at Gartner and have highest productivity. We are getting better at that time all the time. The second thing you mentioned is training. In fact, we had major improvement to our training which we are in the process, we’re not quite finished rolling it around the world. I'm sorry we just finished rolling around the world, so you wouldn't actually seen the full impact of that. And of course because that's rolled out we have other improvements in training behind that and we will have training improvements behind that as well. And then thirdly, again we have a set of -- we are continually improving our tool sets as well. And again we another -- we have a major new improvement for sales tools particularly for new sales people that were at the beginning of the roll out for as an example we will continue with. And again, when that's rolled out we will have another thing behind that. One way to think about it is we have version two, version three, version four, version five. We don’t ever kind of just say, well we've got to version two and we are done and that's how we want to drive sales productivity over time. 
Joseph Foresi: Okay. Then the last question for me, obviously we have started to max out on the margin profile and the research business. You have been taking on some acquisitions which would obviously, create some level of dilution. Maybe you could talk about you how you feel about the margin profile over a longer period of time. Is there still room for expansion, there might be just a little bit? How do you balance that versus some of the acquisitions that you are looking at?
Eugene Hall: Thanks, Joe. The way -- what we are really, really laser focused on is accelerating our growth rates in research which is our most profitable business. It has the best flow through and really drives significant improvements to gross contribution margins. And so we are 100% laser focused on, as we just talked about, improving and accelerating research contract value growth which then translates into research revenue growth and total company revenue growth. As we accelerate and drive research contract value into the 16%, 17%, you know, potentially 18%, 19% range, there is absolutely margin potential and upside there. But we are very focused on making sure that the investments we put into the business whether it is new sales people, new tools, better recruiting, better training are actually supporting and driving long-term sustainable really accelerated growth and research contract value. 
Operator: Your next question comes from the line of Peter Abbott from Piper Jaffrey. Please go ahead. 
Peter Abbott: Thanks, good morning. Craig, just sticking on the margin leverage question for a second-- you had four consecutive quarters of some pretty impressive productivity gain. I am just wondering why that isn't flowing through to better margins. What's the disconnect?
Craig Safian: So no real disconnect, Peter. We have improved our sales productivity and we are at roughly 15% contract value growth. As we have talked about in past, the margin unlocks or there's more margin potential unlocking as we accelerate research contract value at an even greater rate, so that's number one. Number two there's always going to be a lag in terms of the productivity and research contract value actually converting into revenue and profit on a roll forward basis. So I think it is the combination of those two things. When we think about the business again, we reiterated, reaffirmed our guidance for the full year and there's a margin expectation built into that guidance. That’s what we are managing to and you know, that’s where we are on a year to date basis. But again, as I mentioned to Joe on the last question, we are really laser focused on how do we continue to accelerate sales productivity so that we can accelerate research contract value growth. 
Peter Abbott: Would that suggest, Craig, that you would be not put words in your mouth here but more optimistic about the potential for some margin upside in 2016 as you carry forward these productivity gains you have seen in the past year?
Craig Safian: So Peter, we’re obviously we’re talking about 2015. We have talked about guidance for 2015. We are not at a point where we are discussing 2016 yet. 
Peter Abbott: Got it. And then this is a little bit nitpicky, but you talked about contract-value growth accelerating 15%. And the number you reported last quarter was 15. So is it just some sort of rounding thing?
Craig Safian: If you took it out an extra decimal point, there is acceleration. 
Peter Abbott: Okay, great. Can you talk at all about how you're thinking about the pace of buyback activity? You have been, obviously, pretty aggressive here in the first half. Does it suggest you are accelerating the pace of buybacks versus what you laid out initially?
Craig Safian: So, you know, on a year to date basis, we have repurchased $441 million of our shares this year. Last quarter when we announced that $1.2 billion authorization, what we said was we expect that to last us 2.5 to 3 years. That's basically the guidance around share repurchases. 
Peter Abbott: Right. Well, you are pacing well ahead of that, obviously, in terms of completing it in two to three years. So your response is-- no, you are not changing your expectation around pacing which can might imply slower repurchase activity in the second half?
Craig Safian: So, Peter, what I would say is we are not changing the statement around two and a half to three years $1.2 billion authorization. As always, business conditions may dictate slower, faster, what have you? But our -- what we are reiterating is that $1.2 billion authorization should last us roughly two and a half year to three years. 
Peter Abbott: Okay. Thanks. 
Operator: Your next question comes from line of Gary Bisbee from RBC Capital Markets. Please go ahead. 
Unidentified Analyst : Good morning. This is [Gunter Anthony] [ph] in for Gary. Thinking beyond this year with the some of gains in productivity and positive comments around hiring, pipeline and some of your improved training capabilities, is it safe to assume or to think that you might move to the higher end of your long-term 15% to 20% sales headcount hiring range?
Eugene Hall: It is Gene. So the -- we would clearly rather be at the high end of that range than at the low end of the range. We set the range because as we talked about the -- the pace of hiring depend on the readiness we have -- of our first level managers be able to absorb all the new people. And so we had much rather be at the high end of that range. And that's certainly our objective. 
Unidentified Analyst : Okay, great. Just to clarify the 36 to 38 Q3 EPS guidance that's for GAAP and there there's a $0.04 acquisition charge. Is that the way to think about it? 
Craig Safian: That's accurate, yes. 
Unidentified Analyst : Okay. And then lastly just to follow up, the 14% constant currency research revenue growth, was there any contribution from M&A, if so could you quantify that?
Craig Safian: We had software advice for the full quarter last year and the full quarter this year. So the comp is actually accurate. So no benefit from M&A. 
Unidentified Analyst : Great. Thanks so much. 
Operator: Your next question comes from the line of Jeff Silber from BMO Capital Markets. Please go ahead. 
Jeffrey Silber: I hate to go back to the margin issue, but in looking at third quarter--not sure if my math is right, but it looks like we're going to have another quarter of margins being down over year and that was despite the fact that you had said the contract optimization issue hopefully will be less of an issue in the quarter. And I think you shifted, or at least up from a calendar perspective we have got three more events this year shifting from Q2 to Q3. Can you just confirm that? Are you expecting margins to be down year over year again in the third quarter. And, if so, why?
Eugene Hall: So, Jeff, what I would tell you is things move around from quarter-to-quarter on a year-over-year basis. I would focus on the full year where, you know, if you take different ranges of the guidance, you can kind of get, you know, see roughly flat margins on the full year basis, is what our guidance roughly implies. Again, things are going to move around from quarter-to-quarter. The expectation for Q3 there's obviously more stuff going on than just two events moving or three events moving out of Q2 and into Q3. But I would focus in on that full year margin number. 
Jeffrey Silber: Okay, fair enough. If I could just go back to the second-quarter consulting results, you mentioned average analyze revenue for billable headcount being down about 10% or so. I'm assuming FX has an impact and contract optimization, I think would have an impact, as well. Was there anything else going on in there to cause that decline?
Eugene Hall: So Jeff the contract optimization wouldn't be baked into that number. FX will have a pretty significant impact on that number as our consulting business is very global with a significant portion of the revenues being generated in currencies outside of the U.S. dollar. The other piece there is there was a, you know, a 2 point dip in utilization rate which we talked about, which would obviously also impact that annualized revenue for per billable headcount. 
Jeffrey Silber: So would that number have been up on a FX neutral basis? 
Eugene Hall: That number would have been slightly down on a FX neutral basis, largely driven by…
Jeffrey Silber: All right. Thanks so much for the color.
Operator: And your next question is from the line of Bill Warmington from Wells Fargo. Please go ahead. 
William Warmington: Good morning, everyone. So I have got a question for you on a couple of the acquisitions that you have done in terms of software advice and Nubera. One these, I don't know if you want to call them self-service or definitely a lower labor base content model. As you look out, how large of a percentage of revenue do you think they could be? And ultimately what do you think that's going to do in terms of your potential to take the margins up above where they are now?
Eugene Hall: All right. So these are small businesses. They're great businesses but they're small businesses. So we don't see it having a big impact now. And Craig you want to talk about the future? 
Craig Safian: I mean, you know, we are in this business and we have bought these businesses because we think they can be meaningful businesses but as Gene just mentioned very small nascent, if you will, but we will be focused on growing them. The key for us, as Gene, I think mentioned earlier, is we still have this enormous market opportunity on the organic business. So even if we grow these new businesses at an accelerated rate, it is our absolute expectation that the core business will also continue to grow at an accelerated rate and so maybe becomes a bigger piece, but of a larger pie over the long-term. 
William Warmington: It would seem like the opportunity there would to be to basically build a larger portfolio of these types of businesses over time. Is that part of the plan, or are you just going to keep them to a relatively small percentage of total?
Eugene Hall: So again we think there's tens of millions of small businesses, we to serve those businesses just like we do the larger businesses and really grow it at the rate that makes sense to grow it, to serve that marketplace. 
William Warmington: Got it. All right. Thank you very much. 
Operator: I would now like to turn the call back over to Gene Hall for closing remarks. 
Eugene Hall: Thanks all of you for joining us today. Let me summarize some of the key points of the call. So first, we are doing great as a company. We are where we expect to be at this point of the year and all of our underlying metrics are strong. We continue to invest and improve recruiting capability, training tools that drive sales productivity. Our FX natural CV growth accelerated modesty. We may committed to enhance these shareholder value through investing in our business, strategic acquisitions and share repurchases and we are getting better, stronger, faster all the time. I expect to see robust growth for years to come. We look forward to updating you again at our next quarterly earnings call. Thank you.